Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Second Quarter 2016 Results Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. As a reminder, this conference is being recorded, Friday, August 5, 2016. I would now like to turn the conference over to Louis Tonelli, VP of Investor Relations. Please go ahead.
Louis B. Tonelli - Vice President-Investor Relations: Thanks. Hello, everybody, and welcome to our second quarter 2016 conference call. With me today are Don Walker, Chief Executive Officer, and Vince Galifi, Chief Financial Officer. Yesterday, our board of directors met and approved our financial results for the second quarter ended June 30, 2016. We issued a press release this morning for the quarter. You will find the press release, today's conference call webcast, the slide presentation to go along with the call, and our updated quarterly financial review all in the Investor Relations section of our website at www.magna.com. Before we get started, just as a reminder, the discussion today may contain forward-looking information or forward-looking statements within the meaning of applicable securities legislation. Such statements involve certain risks, assumptions and uncertainties, which may cause the company's actual or future results and performance to be materially different from those expressed or implied in these statements. Please refer to today's press release for a complete description of our Safe Harbor disclaimer. As we review financial information today, please note that operating results for the interiors operations, that we sold in 2015 are presented as discontinued operations, and this review of results will address continuing operations only. The slide package accompanying our call today includes a reconciliation of certain key financial statement lines between reported results and result excluding unusual items. There were no usual items recorded in the second quarter of 2016. In the second quarter of 2015, we recorded a gain on the disposition of our battery pack business. This increased the operating income by $57 million, net income attributable to Magna by $42 million and EPS by $0.10. Our quarterly earnings discussion today excludes the impact of these unusual items. And now, I'll pass the call over to Don.
Donald J. Walker - Chief Executive Officer & Director: Thank you. Good morning. The second quarter of 2016 was another successful quarter for Magna. We posted records for total sales as well as North American and European production sales. At our Investor Day back in March, one of our key message was around the consistent outperformance of sales growth relative to light vehicle production across product areas and across regions over a number of years. We articulated how the sales outperformance relative to the market is expected to continue. Today, sales grew 16% over the second quarter of 2015. Our organic sales growth, excluding net acquisitions and adjusting from movements in foreign exchange rates, was 10% in the quarter. This compares to about 4% growth for global light vehicle production. So our global organic sales outperformance relative to market was 6% in the second quarter. Similarly, North American production sales grew 6% organically, excluding foreign exchange movements. This compares to about 2% growth for North American light vehicle production, so we grew three times faster than market growth in North America. Our European production sales grew 14% organically compared to 6% for European light vehicle production. This represents 8% outperformance compared to the market and more than twice the market growth. And our Asian production sales grew 22% organically, excluding foreign exchange movements compared to 6% for Asian production. This represents 16% outperformance, almost four times the growth in the Asian market. In addition to our strong sales performance, we posted a record in EBITDA, going over $1 billion for the quarter, and record EBIT net income and earnings per share. Let me turn to our segment results for a moment. In North America, we generated another solid EBIT margin of 10.2% despite continued significant launch and new facility activity underway. In Europe, EBIT margin reached 5.6% for the quarter. This was the highest adjusted EBIT margin percent since we started reporting quarterly European segment results going back to 2003. This result was achieved despite the Getrag acquisition, which negatively impacted European margin by about 0.4%, largely due to launch cost for new transmission programs and purchase price amortization. Segment results were strong again in Asia with an EBIT margin of 8.2% for the second quarter, despite ongoing investment activities on the continent. And we continue to contain loss within South America despite the challenging operating environment there. Our EBIT loss was $5 million in the second quarter of 2016 compared to $8 million loss last year in Q2 and an $11 million loss this last quarter. Lastly, we recently received considerable industry recognitions for high quality innovation. In the past couple of months alone, we have won awards for excellence from General Motors, Ford, Honda and PSA. We were also recently honored for innovations related to carbon fiber on hoods for Cadillac and for seat innovations on the Chrysler Pacifica. These recognitions reflect our close customer relationships and how we bring forward world-class manufacturing and innovation to support them. With that, I'll turn the call over to Vince.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Thanks, Don, and hello, everyone. I would like to review our financial results for the second quarter ended June 30, 2016. All figures I'm going to discuss today are in U.S. dollars. In the second quarter, our consolidated sales increased 16% or $1.3 billion relative to the second quarter of 2015 to a record $9.4 billion. Reported North American production sales increased 7% in the second quarter to $4.9 billion. Excluding the impact of foreign currency translation, North American production sales increased 9%, while North American vehicle production increased 2% to 4.6 million units. The North American production sales increase is a result of the launch of new programs, the acquisition of Getrag and higher production volumes of certain programs, partially offset by the weakening of the Canadian dollar against our U.S. dollar reporting currency, the (7:30) equity accounted joint venture and new customer price concessions. Reported European production sales increased 36% from the comparable quarter, while European vehicle production increased 6% to 5.8 million units. This increase was primarily the result of net acquisitions, the launch of new programs and higher production volumes on certain existing programs. These were partially offset by net customer price concessions. Asian production sales increased 28% or $109 million to $499 million from the comparable quarter. This was primarily as a result of the launch of new programs, particularly in China, higher production volumes on certain existing programs and acquisitions. These were partially offset by the weakening of the Chinese and South Korean currencies against the U.S. dollar and net customer price concession. Rest of world production sales declined 14% or $18 million to $107 million for the second quarter, primarily as a result of the weakening of the Argentine peso and Brazilian real against the U.S. dollar and lower production volumes on certain existing programs. These were offset by the launch of new programs, and net customer price increases subsequent to the second quarter of 2015. Complete vehicle assembly volumes declined 9% from the comparable quarter, while assembly sales increased 7% to $652 million. Higher volumes on the Mercedes-Benz G-Class and the higher euro against the U.S. dollar together more than offset a decline in assembly volumes on the MINI programs and the end of production of the Peugeot RCZ during the third quarter of 2015. In summary, consolidated sales, excluding tooling, engineering and other sales, increased approximately 15% or $1.1 billion in the second quarter. Tooling, engineering and other sales increased 33% or $198 million from the comparable quarter to $797 million. EBIT margin in the quarter increased to 8.4% from 8.3% in the second quarter of 2015. The EBIT margin was positively impacted by lower commodity costs, including higher recoveries associated with scrap steel, a lower proportion of complete vehicle assembly sales and productivity and efficiency improvements in certain facilities. These factors were partially offset by a higher proportion of tooling to total sales, higher launch and new facility costs, a higher amount of employee profit sharing, operational inefficiencies at certain facilities and the acquisition of Getrag in the amount of 0.2%. Interest expense increased $14 million to $22 million in the second quarter of 2016 largely related to the increase in debt associated with the purchase of Getrag. In Q2, 2015, our effective tax rate was 26.9% compared to 26.3% in Q2, of 2015. This largely reflects an increase in non-deductible foreign exchange adjustments related to the re-measurement of financial statement balances of certain foreign subsidiaries. Diluted EPS from continuing operations was $1.41, a record compared to $1.19 in the second quarter of 2015. The increase in diluted earnings per share was a result of higher net income and a lower weighted average number of diluted shares outstanding for the quarter, primarily due to the repurchase and cancellation of common shares pursuant to our Normal-Course Issuer Bid. Let me review our cash flows and investment activities now. During the second quarter of this year, we generated $864 million in cash from operations prior to changes in operating assets and liabilities, and invested $151 million in operating assets and liabilities. This investment includes an increase in tooling amounts and is consistent with the typical build-up of other working capital in the first half of the year. We expect to recover a substantial amount of the first half investment by the end of the year. For the quarter, investment activities amounted to $543 million, including $409 million in fixed assets, $103 million increase in investments and other assets, and $31 million for acquisitions. We also repurchased 7.8 million common shares for $308 million, pursuant to our normal course issuer bid and paid $98 million in dividends in the quarter. Our balance sheet remains strong with $597 million in cash as of June 30, 2016, and additional $2.19 billion in unused credit available to us. Next, I'm going to cover our revised outlook. Our light vehicle production assumptions are unchanged in North America and it increased about 100,000 units in Europe for 2016, reflecting higher Q2 volumes than previously anticipated, partially offset by some anticipated softening in the second part of the year relative to our previous expectations. Our total sales range for 2016 is unchanged from our previous outlook of $35.5 billion to $37.2 billion. Our North American production sales range was tweaked down very slightly from our previous outlook reflecting changes to certain program volumes. This was offset by our complete vehicle assembly sales range which was increased slightly mainly reflecting our higher expected sales for the Mercedes-Benz G-Class. Our Europe, Asia and rest of the world production sales ranges are all unchanged from our previous outlook. We increased our expected EBIT margin for 2016 to approximately 8% from high-7% range, reflecting continued strong execution and better results in Europe. We increased our income tax rate outlook to approximately 26% from the 25% to 26% range reflecting a change in income mix and higher expected non-deductible foreign exchange adjustments as we experienced in Q2. Our interest expense and capital spending ranges are both unchanged from our previous outlook. Lastly, we made two changes to our expected segment EBIT expectations. We moved Europe up to approximately 4.5% from approximately 4%, and we narrowed the range in Asia to 7.5% to 8% from our 7% to 8% previous range. These reflect expected 2016 operating performance that is better than previously anticipated. This concludes our formal remarks. Thanks for your attention today. We'll be pleased to answer your questions at this time.
Operator: And our first question comes from the line of John Murphy with Bank of America Merrill Lynch. Please go ahead.
John J. Murphy - Bank of America Merrill Lynch: Good morning, guys.
Donald J. Walker - Chief Executive Officer & Director: Good morning, John.
John J. Murphy - Bank of America Merrill Lynch: Just a first question. And we always appreciate all the detail you give us on the programs, on the positive and negative as you go by region. I was just wondering if you could talk more broadly about the benefit of mix as we're seeing a greater and greater portion of sales, vehicle sales, both in North America and China, and to some degree, Europe, moving to crossovers and in some of these markets disruption. How much of that you think is cyclical and structural, because it seems to be coming your way. I'm just trying to understand that.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: If I look at the overall production sales changes through the year-over-year, or quarter-over-quarter, North America, we benefited from stronger volumes on existing programs, forgetting about what kind of launch. So we have been benefiting from the shift towards SUVs, CUVs, and light trucks in North America. And we have – I mean, we're mostly into our top 10 we're pretty heavy on trucks and second quarter top 10 volumes alone, we're up about 7% versus the market at 2%. So we've certainly been benefiting from the shift towards trucks and crossovers in North America.
Donald J. Walker - Chief Executive Officer & Director: Our view in volumes are probably not going to be much different than IHS or anybody else out there. I think if oil prices stay low, there seems to be a big demand for the vehicles. The automakers like to sell them because they're probably getting higher margins on average than smaller cars. So unless something drastic changes in oil price, I would expect to continue to see strong sales in those areas.
John J. Murphy - Bank of America Merrill Lynch: Okay. Thanks. And then just a second question on China and the Asia segment, I'm just curious. As you look at it, there's a lot of concern about how the market is shifting maybe away from the international players in China or the market may even slow down. So there's a lot of concerns in China. As you look at your business, how reliant are you on market and maybe more importantly how reliant are you on your backlog of business just building and coming through with your partners over there?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: John, I think, when you look at China, our business mix is changing and that's primarily as a result of the acquisition of Getrag. I think Getrag's performance are not showing up on our consolidated sales number because they are equity accounted but obviously it impacts the bottom line results. And Getrag's business with the domestic OEMs in China is a more substantial percentage on our overall Magna business, because Magna business is probably about 85%ish with our international OEMs with the North Americans or the Europeans and 50% is domestic. That's been growing on the domestic side. But if you take managed sales and you look at a couple of years, including Getrag sales, the sales through our-the domestic OEMs has been growing. But when I look at kind of the growth in what we're expecting in China, the biggest part of that growth is not coming from volume changes but in fact by launching new programs. That's going to contribute to sales growth. So we're not as dependent on changes involving us but more dependent on the launch of those programs and the success of those programs.
John J. Murphy - Bank of America Merrill Lynch: Okay. That's helpful. Then just lastly, as we look at Europe – I mean the guidance for sort of 4.5% EBIT margin there seems a little bit conservative given what you just put up in the second quarter at 5.6%. Is there something you're seeing in the second half of the year that kind of gives you pause on where the margins will go? Or is that really just a bit of conservatism in your outlook?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: I think there are three factors you need to take into account in the second half of Europe. When you look at overall production, we're about (19:26) about $11.5 million in the first half. We did talk about moving our guidance up by $100,000. But essentially, that was generated in the first half. We're actually taking the second half down. And we're looking at kind of overall volumes to be about $9.9 million in the second half. So you've got volume declines sort of impacting overall if you think about sales. Second thing is you've got the summer and the Christmas shutdowns. And in particular to our businesses, when you look at new facility costs in the second half of this year, they're ramping up. And the investment in launches is also ramping up compared to the first half of the year. And a big part of that is in Getrag in terms of launches. So those are kind of a number of factors that are negatively impacting margins in the second half over the first half. But as you launch these programs, as you ramp up those new facilities, that will come back to us. So when I look at first half performance in Europe on an EBIT perspective I'm pretty pleased with the progress that we've made, and it's been a tough slug for the last five or six years, and we started with a loss in 2011 and we have some pretty decent margins right now.
Donald J. Walker - Chief Executive Officer & Director: I would just add that Magna, as I remember, is coming to the end of life on its higher volume programs, and that has an impact on margin at the back half of the year.
John J. Murphy - Bank of America Merrill Lynch: Got you. That's helpful. And really just one last housekeeping. As we think about the share buyback, the current normal course issuer bid expires, I believe, in November, or at the end of November. And as you get though that, would you expect probably getting another authorization so you have the flexibility going forward? Just trying to understand where that program ends and what we might think about going forward.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Hey, John. I guess, I mean, it's going to be up to the board, our – Don and I, thinking on all of this is we're comfortable that the capital structure is kind of 1 to 1.5 times, and so we continue to generate free cash flow. So unless our capital spending substantially ramps up or do an acquisition, we'll continue to generate some cash. And our stated philosophy is to be in that range. So that implies that we are going to be going to the board with another authorization when this one expires.
John J. Murphy - Bank of America Merrill Lynch: Okay. Great. Thank you very much.
Operator: Our next question comes from the line of Steve Arthur with RBC Capital Markets. Please go ahead.
Steve Arthur - RBC Capital Markets: Great. Thank you. Just following up quickly on that European comment. I understand the pressures in the back half, but Q2 was still stronger than we had thought. And it sounds like the contribution wasn't from Getrag. That was more of a headwind. Was there any kind of onetime in nature in the first half or in Q2, in particular, or is that really just the many little things you've been doing in the traditional business to drive that improvement?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Good morning, Steve. When I look at Europe and I look through it quarter-to-quarter, for Q1 to Q2, kind of we're at 5% Q1 and 5.6% in Q2 and then one thing, kind of what's sort of going on. There's a little bit of benefit from commodity costs and launch costs were a little bit less in Q2 versus Q1. But that was offset pretty well by higher warranty. And then when I kind of – the other two impacts in the quarter was we had pure tooling sales. So that would imply a little bit higher margin, make margin on tooling. And the rest is essentially, pull-through on higher sales and operating efficiencies. So there's nothing here that's fixed out as being an unusual item, a plus or minus in the quarter.
Donald J. Walker - Chief Executive Officer & Director: Overall, a pretty clean quarter. And we still got a lot of launches going on. So I'm pleased with the progress we're making in Europe.
Steve Arthur - RBC Capital Markets: Sounds good. Back on North America, I realize you don't report content per vehicle any longer. But if we use your production numbers, it looks like something around $1,060 (23:51) for North America for the first half. And your full year outlook implies kind of $20 to $50 higher than that for the second half of the year in terms of CPV. That seems a big jump. Is that just a function of mix or are there any particular program launches, I think, that you can point to that might explain the increase in the back half?
Donald J. Walker - Chief Executive Officer & Director: There's lots of launch activity going on. I mean the Pacifica is still launching. The Acadia just started in April. We have higher content on the new one versus the old one. The Cadillac XT5 is still launching. That's higher content compared to the SRX. Lincoln content will just start. There's a huge content on that one. So it's mainly – mix is going to improve H2 versus H1. But certainly we still have a lot of launch activity going on this year.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Yeah. If you look at kind of production, implied production for the second half of the year in North America, it's down compared to the first half. If you take the midpoint of our outlook on production sales we're implying growth, which means that just like you talked about, achieve higher content per vehicle in the second half of the year compared to the first half of the year.
Steve Arthur - RBC Capital Markets: And the final one, just more generally, in the opening comments or the press release, Don there was a comment about remaining highly focused on innovation and strengthening positioning of car of the future. I probably got the quote wrong. But that seems to be a key focus. It was the focus of your Investor Day four, five months ago. I guess, since then, any changes to your thinking on the focus technology areas for Magna or the level of investments and nature of the investments you're making there?
Donald J. Walker - Chief Executive Officer & Director: Not really. We're spending a lot of time on it, just trying to really understand and have a good estimate of how fast things like electric vehicles penetrate, how fast will ADAS penetrate, what's going to be the impact of ride-sharing, et cetera, et cetera, to make sure our product strategy is aligned with what mobility in cars should be like in the future, with new people that might be involved in the industry. But from an innovation standpoint we're continuing to put a lot of focus on it. We just had a tech show with one of our big customers last week, really good feedback from the customers in a lot of different areas. So it continues to be a focus. We're making good headway in what we've been working on world-class manufacturing. And I think, we're going to continue that obviously. But the big focus right now in the company has been and will continue to be on new product and process innovation and so on. A lot of activity there.
Steve Arthur - RBC Capital Markets: Okay. Thanks for the comments.
Operator: Our next question comes from the line of Colin Langan with UBS. Please go ahead.
Colin Michael Langan - UBS Securities LLC: Oh, great. Thanks for taking my question. Sorry if I missed it. Any update on the three North American plants that were having issues? Are those issues past or is it still a challenge? I think you mentioned that there might be more launches, just wanted your thoughts.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Colin, if I look at it kind of sequentially, the three operations sort of Q1 to Q2, that's been a positive impact to operating results in Q2 versus Q1 as we continue to make progress there. Yeah, when I look at those three operations, there's a lot going on. We're still launching some business in a couple of facilities, one of the larger facilities we're launching quite a bit of business. There's been some higher volume in certain programs. We certainly didn't see some efficiency improvements. Scrap price has also moved around a little bit. When I kind of sit back and say, well how much of the improvement is due to what, how much of it is launch, or how much of it is higher volume, how much of it is efficiencies, we saw some inefficiencies on outsourcing and the pricing over time. I look at all three divisions combined and kind of the run rate for the first half of the year, they're absolutely in line with where we thought they were going to be at the beginning of the year. And when we look at where we think we're going to be at the end of the year, it's, again, in line to kind of where we thought we're going to be. So again, a lot of activity going on. But we're in line to what our expectations were. And year-over-year that should get positive to operating results for North American as well as Magna consolidated.
Donald J. Walker - Chief Executive Officer & Director: And most of the launches in – one division is actually back to – it's where we expected it would be. The other three divisions, most of those launches will be through by the end of this year.
Colin Michael Langan - UBS Securities LLC: Got it. And you actually mentioned scrap which is, actually, my other question. I mean, can you remind us the impact of commodities there. I remember a couple of quarters ago, it was actually a bit of a drag. Is that turning in the second half of the year? And how should we think about commodity exposure with the movement in scrap price?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Yes. When I look at even kind of first half of the year or just quarter, I guess, Q2 to Q1, we did see some positive benefits from a combination of commodity and scrap. And as I look at Q3 and Q4, steel prices remain where they are. That should be a tailwind, so positive for the second half of the year.
Colin Michael Langan - UBS Securities LLC: Got it. All right. Thank you very much.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: (29:27) but it's certainly going to – it should be beneficial to us.
Colin Michael Langan - UBS Securities LLC: Got it. Thanks, and congrats on a good quarter.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Thank you.
Donald J. Walker - Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Peter Sklar with BMO Capital Markets. Please go ahead.
Peter Sklar - BMO Capital Markets (Canada): Hi. Thanks. Don, now that you've had Getrag under your belt for a couple of quarters, I'm just wondering if you're – if there's anything you're seeing unanticipated in either Europe or your Asian operations, and just overall how you're feeling about Getrag now that you've had the opportunity to jump into it a little bit more?
Donald J. Walker - Chief Executive Officer & Director: The integration has been going well and we're working together on synergies in a number of different areas. So I think the overall – we just reviewed this with the board yesterday, the integration is going well, the operational results are where we expect them to be. We have looked at the launch status, the products and it's all what we expect it to be. They do have a lot launches. But we're not expecting – we haven't seen anything unusual there. So overall, pleased with the acquisition, pleased with the progress. We will be updating their business plan in time, a lot of details, and we'll have a better idea, I guess what the results will be going forward compared to what we expected when we bought it. But right now, there's no real concern. I'm actually quite pleased with the way things are going.
Louis B. Tonelli - Vice President-Investor Relations: Yes. Peter, if I can just add some comments on Getrag. When I look at overall operating performance for the quarter, even the first half of the year, I'd say Getrag is ahead of our expectations and what we have built in to our forecast. Part of that is sort of timing where there could be some launch activity in engineering that we thought would take place the first half, which is going to take place in the second half of the year. But a big part of it is just due to better operating performance, a little bit stronger on the volume side. So from an operations standpoint, bottom line results of 2016, we're pleased and we're ahead of where we thought we were going to be.
Peter Sklar - BMO Capital Markets (Canada): Okay. And I take it that, structurally, Getrag has a lower reported margin than Magna's traditional businesses because you're doing the whole assembly of transmission. Is that correct to assume?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: I think, right now, Peter, when you look at the margins they're certainly lower than Magna because there's a number of things. One is we have a whole bunch of purchase price amortization that's impacting the Getrag results. And as we've been talking about previously, there's a tremendous amount of launch activity in Getrag. But I think if you move forward and you get through all that, given the level of capital intensity in the business, the margin profile at Getrag should be accretive to Magna's margins.
Louis B. Tonelli - Vice President-Investor Relations: It's a big showing price for the unit. But they have a lot of added values and it's the high technology. So we certainly expect the margins to be higher.
Peter Sklar - BMO Capital Markets (Canada): Okay. And then just one last question. Recently, Ford has gone out of its way to be cautionary in terms of the vehicle demand outlook for the second half of this year in the U.S. And I'm just wondering if you've seen any weakness yet in the release schedules from your customers.
Louis B. Tonelli - Vice President-Investor Relations: Up to this point, Peter, I mean, we haven't changed our outlook for North America. All year we've been at $18 million. And we've been coming in pretty much close to our forecast. And we look at releases as part of reviewing the remainder of the year, at least, in the next quarter. And we don't see any concerns at this point. Overall, we're seeing volumes.
Peter Sklar - BMO Capital Markets (Canada): Okay. Thanks, Louis. That's all I have.
Operator: Our next question comes from the line of Rich Kwas with Wells Fargo. Please go ahead.
Richard M. Kwas - Wells Fargo Securities LLC: Hi. Good morning, everyone.
Donald J. Walker - Chief Executive Officer & Director: Hi, Rich.
Richard M. Kwas - Wells Fargo Securities LLC: Just want to ask about Europe, a little longer term question. So I think, John had asked about margins here over the balance of the second half. But I think, your longer-term guidance is in the mid to high 4s and you're tracking above that. So in the out-years, I realize that maybe you're not prepared to update at this – update that figure at this point. But just directionally, what are the puts and takes around margin in Europe in the out years particularly as it would seem like Getrag gets more traction and probably helps margin in 2017 and 2018? I just wanted to get your thoughts there.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Okay. Rich, just to comment, we talked about margins for this year being 4.5%, not 4% to 4.5%, but 4.5%. So that's moving up from our previous outlook. Anyway, just to answer your question, there's a number of things you need to take into account when you look at overall longer-term European margins. You're going to have a higher portion of assembly sales as we move out to kind of the 2018 timeframe, and we'll talk about 2018 timeframe. And as we talked about before, Magna's assembly business is lower margin business, but decent return on capital business. But that kind of hurts margins as we move out to 2018. What could help grow margins in Europe, I'd say, are relate three items. I think the biggest contributor is going to be the launch of new Getrag business And as we get up to 2018, Getrag's margins are going to be accretive to European margins. We've been, over a number of years, the last several years, been a lot more disciplined on putting in new programs. So as the new programs start to come in, the contributions from those new programs is expected to be accretive to overall margins. And we continue to work on improving operating performance. And even though we've talked about where we are from a restructuring standpoint over those number of years. And the last part of restructuring and getting out of the last facility that we planned, is kind of 2018 timeframe. So all of that should be accretive to overall margin. So trending, as we look at kind of 2018 margin should be moving up, not down.
Richard M. Kwas - Wells Fargo Securities LLC: Okay. That's helpful, Vince. And just on Getrag, I think this year you're saying it's trending a little bit better than expected. So is there any – I think, originally, there was thought to be very little accretion of more or less nothing for this year in terms of earnings. So is that because of purchase accounting and what not? So as we think about it right now, is that adding a little bit to earnings this year versus expectation? And then next year, is there any change to how we should think about contribution for Getrag?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Yeah. Rich, I have no – if you had asked me last quarter or six months ago, I would have said that Getrag, with purchase price accounting, would have been fairly neutral for 2016 sort of plus or minus but close to zero. If you ask me right now, I'd say that it should have a positive impact on earnings per share is accretive. But again when you think we got 400 million shares outstanding, it's not going to stand out as a big number. But our expectations for 2017, and we need to update our business filings we are working on right now, was that it was going to be more accretive in 2017 versus 2016.
Richard M. Kwas - Wells Fargo Securities LLC: Okay.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: And ...
Richard M. Kwas - Wells Fargo Securities LLC: Yeah, so...
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: ...excluding purchase price accounting, certainly Getrag is more accretive in 2016 and even larger in 2017.
Richard M. Kwas - Wells Fargo Securities LLC: Right, right. Okay. And then just last one, Don. So this report said that Samsung is interested in Magneti Marelli and looking outside or looking to get more involved in the auto business. I know you kind of alluded to looking strategically at what the landscape is looking like going forward with outsiders and then the core automakers. What's your view in terms of active safety, infotainment, more software-oriented product portfolio and whether – I know you're investing internally there. But in terms of external investment, where would you classify that as a priority?
Donald J. Walker - Chief Executive Officer & Director: Yeah. I heard rumors of Samsung. So I can't comment on it because I don't know anything about what's going on there. I think there's – LG, Samsung and other people are looking at what parts of a vehicle they would like to participate in. We are certainly spending a lot more time looking at the ADAS, building our software capability, looking at new products, either by developing them ourselves or potentially partnering or buying people that would have capability in those areas. I mean it's going to be a lot of change in the next three to four years in who the winners and losers are. But there's a lot more content going into the vehicle. So I guess, to answer your questions, it's simply high focus area for us. We would consider acquisitions. It would have to be in an area we want. We're not really looking at getting into the infotainment. But more things, whether it's vehicle to vehicle or security, we've got an investment in an Israeli company, cameras, basically, any type of sensor that would help the automakers in autonomous driving is what we're focused on. So we have a lot of focus on it right now, and we'll keep you advised as we go forward. But we're looking at a lot of different things.
Richard M. Kwas - Wells Fargo Securities LLC: Okay. Thank you. Thanks for the color.
Operator: Our next question comes from the line of Ryan Brinkman with JPMorgan. Please go ahead.
Ryan Brinkman - JPMorgan Securities LLC: Hi. Good morning. Thanks for taking my question. I'm finding that some investors are increasingly worried about supplier pricing right now just given, I think, amongst other factors, some of the commentary on the Ford call, including outlook for 6% lower automaker prices to consumers in China. And then, the fact that incentives have picked up in the U.S. (40:49) there is, I don't know, take your pick, maybe plateauing or perhaps declining a little. So I'm just curious if you're seeing anything differently in terms of annual customer price reductions, if there's anything there that could impact your margin?
Donald J. Walker - Chief Executive Officer & Director: No. I wouldn't say it's any different. The good news is that most of our customers are very profitable right now, which is always good. But even when they're profitable, their engineering and purchasing people are always looking at how to take cost out. It's a competitive market, and they're always looking at the supply base for price reductions and how to redesign product and optimize it through VA/VE. So really, no change because there's always lots of pressure, and ultimately, it comes down to who's competitive. That's why we've put so much emphasis on our world-class manufacturing initiatives and who's got what technology out there. I think one of the opportunities in the industry generally is, with all of the changes in the vehicle, whether it's in regulation, fuel economy, autonomous driving features, there's lots of changes. So if you've got the technology, you can continue to win business and should be reasonable margin business, if there's – if you got something unique there. So no more pressure, no less pressure, and I wouldn't expect it to change much. And even in China, there's a lot of pricing pressure, but there's also a lot of weakness in the supply base over there. So I don't expect to see things change dramatically.
Ryan Brinkman - JPMorgan Securities LLC: Okay. Thanks. That's helpful. And then just last question. Obviously, you got very strong results in Europe this quarter and you're raising the outlook there for the year. I'm curious though if you've done any work to try to estimate the impact of Brexit on your operations there and whether that could have any kind of an impact on your target or normalized margin in Europe? I think you gave some outlook at your Analyst Day for 2018 margins. Is all that pretty much still intact do you think or does that need to be revisited?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Ryan, I think it's – at this point, it's really too early to tell when you look at sort of the activity in the UK. We do (43:17) of annual sales in the UK. A big part of that product is exported outside of the UK. But also export from the EU into the UK. And I think, it's too early to really tell kind of in part what our customers did. When we look at European volumes into 2016, initially before Brexit, we really looked more bullish on European volumes. Our most recent outlook for volumes in Europe reflects a reduction to resolve this. I guess the uncertainty in consumer confidence is now greater in the UK.
Ryan Brinkman - JPMorgan Securities LLC: Okay. Thank you.
Donald J. Walker - Chief Executive Officer & Director: Everbody (44:03) what's going to happen there. But if you look at the number of vehicles that we have exported from the UK to Europe and back, I think, it would be a lose-lose. If they do anything on trade negotiations in the upcoming years, that going to hurt that trade. In a strange way, the UK may be able to end up entering other trade deals. It will take a number of years, I'm sure, and export more vehicles. So I wouldn't expect any business will make any big changes right away. And with that the lower pound, I don't think it makes much difference because we ship most of our product. Most of our costs are in local currency and we ship it. But that may make the producing parts more competitive long term. But I think, we have to wait a year and see, what happens with trade deals. I don't think it has any real impact other than translation and maybe sales as Vince just said, in the UK, but I don't see it as being a big deal.
Ryan Brinkman - JPMorgan Securities LLC: Very helpful. Thank you.
Operator: Our next question comes from the line of David Tyerman with Cormark Securities. Please go ahead.
David Tyerman - Cormark Securities: Yes. Good morning, guys. First question just on the equity earnings line. It was up quite a bit sequentially in the quarter. Is that just Getrag? And can you give us some thoughts on how should we think about that going forward?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Yes. So equity consequentially was up about $12 million and trying to see where it falls into. A big part of that was in the North America with – the big part of it was in North America. So that wouldn't be Getrag. I think if you look for the balance of the year, David, and thinking about Asia, Getrag is going to be – I'd just say a negative in the second half particularly in Asia because there's a lot of launch costs that we're going to be incurring as we are involved with the ramp up. I'm not sure how that all balances out. But launch costs are in place. I think it stands out from the – in Asia in the second half of the year.
David Tyerman - Cormark Securities: Okay. That's helpful. And I guess that just sort of brings me to my second question, Getrag and launches. Where do they peak, is it the second half of this year or do they continue to – the launch costs continue to accelerate for some time in 2017?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Yeah. David, my recollection was that the launch costs are pretty heavy in 2017 as well, but in terms in back half of 2016. I just don't recall right off the bat, what happens prior to that. I believe launches continue to move up in Getrag as we move on to 2015 versus 2016. But again, there's a whole bunch of things going on in there. We'll give you some, David, some outlook, better feedback once we get through our business plan. And we will help put more color on that.
Donald J. Walker - Chief Executive Officer & Director: Certainly more launch, less engineering cost in the back half of this year relative to the front half.
David Tyerman - Cormark Securities: Okay, so it sounds like the anticipated better margins from Getrag in 2017 would really be you're starting to get benefits from stuff done this year partially offset by still heavy launch costs?
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: Yeah, that's right, because what we are expecting overall based on our own accounting Getrag is going to be more accretive to earnings in 2017 versus 2016.
David Tyerman - Cormark Securities: Got it. Okay. And last question – sorry.
Vincent J. Galifi - Chief Financial Officer & Executive Vice President: David, the big step up in overall Getrag is going to be 18 and 19 (47:51), margin.
David Tyerman - Cormark Securities: Right. Okay. And the last question I had, just generally on M&A, right now, any thoughts – Don, you mentioned ADAS and areas like that. Is this an area that's attractive to you relative to buying back stock or any thoughts on that side?
Donald J. Walker - Chief Executive Officer & Director: Yeah. I think it's an attractive area of growth. One of the things you want to make sure is we have a good view as to how fast these various things happen, whether it's autonomous driving up to level four, how fast things would be penetrating, whether it's electric vehicle penetration, to make sure whatever we're doing we're not building a business case on something that may not happen as fast as many people think it's going to happen. There is still a lot of different opportunities out there. But we're trying to have a good balance between is it growing the company profitably for the long term and also is it better to repurchase shares because I think our share price is low. So it's an ongoing dialogue with the management team and also with the board. If the right opportunity comes along, we'd certainly move on it. And we're not anticipating a big downturn. We're also conscious that things go in cycles. So we don't want to be buying at the peak of the market, so a lot of different factors we're looking at.
David Tyerman - Cormark Securities: Super, that's helpful. Thank you.
Donald J. Walker - Chief Executive Officer & Director: Okay.
Operator: Our next question comes from the line of Richard La Francois (49:35), private investor. Please go ahead.
Unknown Speaker: Yes. I'd like to know how come I wasn't able to print the Q2, 2016 report. I tried. I tried doing it by www.magna.com and any other ways. I even tried on my email box, never got anywhere. How come this happened? I tried yesterday night. I tried this morning before the conference. Nothing going, couldn't get anything for Q2 2016.
Louis B. Tonelli - Vice President-Investor Relations: Richard?
Unknown Speaker: Can you tell me which error I did or what should I have done to be able to print the Q2 2016 report?
Louis B. Tonelli - Vice President-Investor Relations: Richard, Louis here. If you call 905-726-2462...
Unknown Speaker: I call what? Could you repeat that?
Louis B. Tonelli - Vice President-Investor Relations: 905-726-24...
Unknown Speaker: You said it too fast again. If I call what?
Louis B. Tonelli - Vice President-Investor Relations: 905...
Unknown Speaker: 905...
Louis B. Tonelli - Vice President-Investor Relations: 726...
Unknown Speaker: 726...
Louis B. Tonelli - Vice President-Investor Relations: 2462.
Unknown Speaker: 264...
Louis B. Tonelli - Vice President-Investor Relations: 24...
Unknown Speaker: 24...
Louis B. Tonelli - Vice President-Investor Relations: 62.
Unknown Speaker: 62.
Louis B. Tonelli - Vice President-Investor Relations: Yes. And ask for Louis Tonelli.
Unknown Speaker: Louis Tonelli.
Louis B. Tonelli - Vice President-Investor Relations: And we will get some way to help you with the printing.
Unknown Speaker: Yeah. Okay. 8990572624 and afterwards 85 or 65?
Louis B. Tonelli - Vice President-Investor Relations: 62.
Unknown Speaker: 62?
Louis B. Tonelli - Vice President-Investor Relations: Yeah.
Unknown Speaker: I repeat. 905-626-2462.
Louis B. Tonelli - Vice President-Investor Relations: Yes. That's right.
Unknown Speaker: Is that 62462 at the end?
Louis B. Tonelli - Vice President-Investor Relations: 2462.
Unknown Speaker: 62. That's it. And the name of the person is Lou what?
Louis B. Tonelli - Vice President-Investor Relations: Louis.
Unknown Speaker: The name of the person you say to talk to. You said Louis.
Unknown Speaker: If you just ask for Louis, L-O-U-I-S...
Unknown Speaker: Louis.
Louis B. Tonelli - Vice President-Investor Relations: ...they will put you through the right person.
Unknown Speaker: Okay. Thanks a lot. Have a nice day.
Louis B. Tonelli - Vice President-Investor Relations: Thank you.
Operator: And there are no further questions on the phone lines at this time.
Donald J. Walker - Chief Executive Officer & Director: Okay. Thanks, everybody, for dialing in. We're – as we were saying, we're happy with the results the last quarter, a lot of things going the right way. So appreciate your time and have a great day. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.